Operator: Welcome to the New York Mortgage Trust Third Quarter 2015 Results Conference Call. During today's presentation all parties will be in a listen only mode. Following the presentation, the conference will be open for questions. [Operator Instructions] This conference is being recorded on Wednesday, November 4, 2015. A press release with the New York Mortgage Trust's third quarter 2015 results was released yesterday. The press release is available on the Company's website at www.nymtrust.com. Additionally, we are hosting a live webcast of today's call, which you can access in the Events & Presentations selection of the Company's website. At this time, management would like me to inform you that certain statements made during the conference call, which are not historical, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although New York Mortgage Trust believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, it can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday's press release and from time-to-time in the Company's filings with the Securities and Exchange Commission. Now at this time for opening remarks, I would like to introduce Steve Mumma, Chairman, CEO and President. Steve, please go ahead.
Steve Mumma: Thank you, operator. Good morning everyone, and thank you for being on the call. The company generated $22.4 million in net income to shareholders for the third quarter, essentially flat to the previous quarter. We ran a company with three goals in mind to provide stable distributions, to maintain a stable book value and to identify next key transactions that provide opportunistic growth. This year has been a very challenging year for the company's portfolio. We’ve had a volatile interest rate environment, constant uncertainty around Fed policy, monetary policy, inconsistent economic data and an overall lack of market liquidity. These factors have all weighed heavily on our strategy and performance year-to-date. In light of these challenges, for the first time in over three years, we reduced our dividend payout ratio to $0.24 per share from $0.27. Our decision to reduce our quarterly dividend in September was primarily a function of our earnings performance year-to-date and our view of the current return environment for new investments. In our view, the supply of investment opportunities that can deliver attractive risk adjusted returns has declined. And that has made capital reinvestment more difficult in recent quarters. In response to this investment environment, we've maintained a defensive posture. Electing to remain underinvested rather than deploying capital to investment strategies that may not satisfy our return criteria. This defensive strategy has resulted in lower current earnings, but has delivered stable book value over the course of this quarter. Our distressed residential loan portfolio delivered the gains that we had anticipated earlier this year, generating over $24 million in gross realized gains from sales during the quarter, which are gains that were not previously reflected in our earnings or book value. During the quarter, we initiated our second lien residential program and continue to build our network of residential lenders. While we believe this product will provide an attractive income stream for the company over the long term, the current low interest rate environment has limited overall consumer demand for this product and thus our ability to accumulate these loans has occurred at a slow pace than originally planned. We continue to concentrate on the credit residential and multi-family strategy and remain focused on investment opportunities that will provide attractive long-term potential returns. As I said before, we had net income attributable to common stockholders of $22.4 million and $0.20 per share. We had net interest income of $18.3 million and net interest margin of 354 basis points for the quarter. We sold two pools of distressed residential mortgage loans for aggregate proceeds for approximately $144 million, which resulted in gross realized gains of approximately $24 million. While the sales process is less than predictable than we would like, the outcome of the sales has exceeded our expectation. We purchased during the quarter, a total of $81 million in first lien distressed residential mortgage loans for an aggregate purchase price of approximately $68 million. Our book value per common share at September 30 was $6.80 or unchanged from the previous quarter. We declared the third quarter dividend of $0.24 per common share that was paid on October 26, 2015. Included in our press release is a capital allocation table and a net interest spread table. These tables disclose balance sheet amounts, interest income, which is injustice, weighted average yields, weighted average earning asset balances by investment silo. In addition, we've included a table that discloses historical CPRs by mortgage security investment category by quarter. We had net interest income of $18.3 million and net interest margin of 354 basis points for the quarter versus net interest income of $20.3 million for the previous quarter and a net interest spread of 391 basis points. The decrease in both dollars and net spread can be attributable to two factors. One, the sale of the CLO securities at the end of the second quarter, which while representing less than 2% of our portfolio didn't have an accounting yield exceeding 35%. And second, continued elevated seats in our IO portfolio. In addition, slightly lower average earning balances for the period contributed to a lesser extent, and should be mitigated in the future as we add assets. Overall mortgage securities portfolio CPR speeds totaled 15.1% versus 13.3% for the previous quarter. With our Agency ARM portfolio speeds at 18.6%, up from 9.2% the previous quarter, our largest increase. Our fixed rate agency speeds were essentially changed at 10.5% and our Agency IO CPR speeds increased to 18% from 16.3%. Going forward, as we build out our residential loan portfolio, we would expect to see the interest spread to become more stable and range bound. We also expect our leverage to increase from less than 1.2 times to approximately 2 times to 2.5 times. This leverage will initially be supported by bank warehouse lines, but over time as we accumulate loans, we will securitize these loans to create a more prudent financing structure. Our total other income decreased by $12.9 million for the three months ended September 30, 2015 as compared to the same period in 2014. The change in total other income was primarily driven by a decrease in realized gain or investment securities and related hedges for $20 million. Our Agency IO portfolio experienced an increase in realized loss and derivative instruments of $3.5 million for the three months ended September 30 as compared to the same period in 2014. In addition, realized gains in our multi-family portfolio decreased by $16.4 million for the three months period ended September 30, 2015 due to the sale of a single multi-family security in the previous third quarter of 2014, an increase in net unrealized loss on investment securities and related hedges of 1.6 for the three months again related to our Agency IO portfolio. Our Agency IO portfolio continues to be negatively impacted by increased prepayment levels and overall interest rate volatility. The decline in that unrealized gains in our multi-family loans and debt held at securitization trust was 20.3, mainly due to widening credit spreads during the third quarter of this year. An increase in realized gains on distressed residential loans of $26.4 million due primarily to the sale of two pools distressed loans in September of 2015. The above comments are meant to reconcile the individual lines in our income statement, but in summary, our CMBS strategy net realized and unrealized activity was down approximately $37 million from the same period year-ago and our distressed residential loan portfolio was higher by approximately $26 million. These two factors represent the majority of the net change. Our portfolio strategy is intended to contribute to the bottom line at different times and cycles, thereby acting as a self-hedging mechanism versus outright purchase of hedging instruments. In our opinion, this has contributed to a more stable book value over the last three years. We had total expense of $9.8 million for the quarter ending September 30, 2015, a decrease of $1.8 million from the same period in 2014. This is primarily due to the decrease in incentive fees related to the realized gain on our CMBS strategy in 2014, which was partially offset by increased expenses at our distressed residential loan portfolio for the current period. During the quarter, we attempted to take your multi-family direct investment vehicle RiverBanc multi-family investors, or RMI, public in late July. But we were unsuccessful as the market conditions worsened quickly for financial stocks, especially REITs during this period. We will continue to pursue other capital alternatives as we monitor current public markets for future capital transaction executions for this entity. We are committed to the space and continue to invest in the multi-family sector. We initiated a second lien program during the quarter and continued to build out our network of originators. As I said earlier, we believe this strategy will deliver the risk-adjusted spreads that we target as the rate environment changes in the near future. The company continues to run at conservative leverage ratio while the overall ratio is less than 1.2 times equity. We continue to monitor the FHFA and the outcome of this decision as it relates to our membership as a captive insurance company in the FHLB system. We are hopeful for a favorable outcome in a final ruling in the near future as we believe the REIT industry can be a positive contributor to the overall mortgage market liquidity and instrumental in increasing homeownership for all. Company's investment focus remains on residential loans and multi-family investments as we head into 2016. Our 10-Q will be filed on or about November 9 with the SEC and will be available on our website thereafter. We thank you for your continued support, and, operator, we'd like to open it up for questions.
Operator: Thank you. Our first question comes from the line of Doug Harter from Credit Suisse.
Sam Choe: Hi, this is Sam Choe actually filling in for Doug Harter. So my question was, I was just wondering about your leverage levels, your comfort level with the current level and whether you will be taking it up to take advantage of the widening spread environment?
Steve Mumma: Well, one thing we've done is, as we've said, we’ve maintained a defensive posture. We have significant amount of capital to invest. And as we look to make those investments, it’s a combination of the types of leverage we are going to put on it. The place where we're looking to increase leverage will be bank warehouse lines around our residential loan strategy, both with distressed reperforming loans as well as our new second lien program. To a lesser extent, we will look at both purchases outside of that category, but the leverage really will be focused around that. And ultimately we would use that leverage to accumulate loans and then eventually securitize those into a more permanent restructure.
Sam Choe: Got it. Thank you.
Operator: Thank you. And our next question comes from the line of Eric Hagen from KBW.
Eric Hagen: Hey, good morning. Steve, how are you?
Steve Mumma: Good morning.
Eric Hagen: To expand on that concept of the patient approach you guys are taking, what exactly would the environment have to look like as far as spreads and yields go, otherwise what are you guys waiting for?
Steve Mumma: Sure. In the distressed residential loan space, it's become a very competitive marketplace which has allowed us to have excellent sales into the marketplace. Our ability to accumulate those loans in large bulk purchase is going to reduce because of so much competition. We have been very successful at accumulate lower packages, lower smaller amounts and smaller package amounts. So where historically we would buy 50 million to 100 million, we are not looking to buy stuff in the in the 10 million to 25 million which takes longer to accumulate, but I think as you accumulate those loans, your entry price into those loans are better place than if you go out and compete on large bid lists. So that's one thing from a timing. Secondly, as we launched our second lien mortgage program, our initial thoughts were that we would be accumulating at rates that would generate up to $50 million to $100 million by the end of this year which looks like that target is probably going to get pushed out towards the first quarter. We are closing loans, but that pace is at a much lower pace. And those are really the investment strategies that we're focusing on today. We are active in the multi-family mezz lending space. And that's probably going to contribute to a lesser extent our investment growth, but our primary focus is on those two residential aspects. And really the rate environment, we had a dip in rates in the third quarter in October. It’s allowed borrowers who have first lien mortgages to refinance and cash out more effectively than remain in a first lien mortgage and take out a second lien mortgage. We think that will change as rates increase in the future. When I say we’re going to increase leverage, our leverage overall plus 1.2 times. So when we talk about taking up to 2 and 2.5 times, it’s still very low leverage and the balance sheet is really set up to add assets aggressively. We’d see spreads widen significantly in the fourth or into the first quarter.
Eric Hagen: That's helpful. I mean maybe drilling into the multi-family piece just a little bit, I mean spreads have already widened, how much more do you think they could widen and at what point would that look attractive to you?
Steve Mumma: Sure. Our multi-family investments have centered mostly around mezz lending and first loss pieces in the Freddie Mac new issue space and so while those spreads have widened, which is an accurate statement, they have not widened to levels where we exited the marketplace in early 2013. We continue to monitor that space and we think if spreads get out, there is a point where we’ll re-enter that marketplace. It’s not there yet. We have not participated in the AAA market. It's just something that we’re not really interested in with that type of leverage transaction today. I mean if it gets to a certain level, we may change that strategy, but as we stand today, really our focus to multi-family is mezz lending, JV investments and first-loss multi-family securities in agency space.
Eric Hagen: Yeah. Last question on the multifamily. Do you think the spread widening in the third quarter was mostly a credit driven widening or was it more of a just a strong issuance calendar?
Steve Mumma: I think overall, any new issuance market has issues today. Multi-family - commercial CLOs, residential securitization is a problem. You have a limited supply of the front-end cash flow buyers, the AAA buyers if you will. They know there is pipelines coming and there is an unwillingness of the street to take down inventory. So these securitizations have to be placed into the marketplace. These AAA investors know that and so in my opinion, they sit through and wait for these deals to come and the deals widen out, because they know they have to clear and they are just putting pressure on the system. And I don't think you see significant amounts of activities outside of the commercial CLO, so we have - or CMBS. We have not participated in a non-agency CMBS deal quite frankly because we’re concerned with just the volume of deals and the quality of the deals. And so we focus on our agency side. I think it's a factor of supply and limited participation from non - and investors.
Eric Hagen: Thanks, Steve. Thanks a lot.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of David Walrod from Ladenburg.
David Walrod: Good morning, Steve.
Steve Mumma: Hey, Dave. How are you doing?
David Walrod: Good. I want to discuss a little bit the pipeline of asset sales. Obviously, you had the distressed loan sales this quarter. Can you talk about your expectations for multi-family and distressed sales, both in the fourth quarter and then into 2016?
Steve Mumma: Yeah. I think from a distressed residential loan strategy, I think we like to think over the course of the year, you have a 25% to 35% turnover in a portfolio in terms of your accumulating and selling and so as we like to ramp up to $600 million $700 million distressed residential loan portfolio over the course of the year, you’d probably see between $200 million and $250 million in sales. We’d like that to be on a quarterly basis and it has not been historically. That's something that we're trying to shoot for, but what the first priority is - relates to any sales transactions to maximize proceeds. So we will generate the sale to the buyer at the highest price and we will dictate that timing to try to cater to the buyer, which has resulted in timing misses on those sales. But I think excellent execution from a pricing standpoint. Multi-family wise right now, we like what we see with the portfolio, I don't think we’re aggressively looking at selling you those securities. We sold the pieces that we have sold historically. They were seasoned pieces that we bought that were inside a four-years to maturity. We don't really have anything left on the books that looks like that. We did sell some multifamily IOs in the quarter, not a lot of large balance in terms of dollars that were lower yielding assets. We just wanted to free up some capital for some other investments. But I don't think we have an active aggressive sale opinion right now in our multi-family space. We’re more in an accumulation mode there in the distressed residential loan strategy and in fact incorporate sales as part of that process. So that's really the one strategy that we will be selling. The second lien program is not a buy and sell strategy, it's a buy and hold strategy and securitized. So that loss will not generate sales.
David Walrod: Okay, great. And then the other question I had is on the FHLB, can you talk to us about how much you've drawn down there and what your expectations are for that going forward?
Steve Mumma: We’ve limited our financing with the FHLB to about a third of our agency portfolio to date, primarily because the way we entered the FHLB system, we had this final letter saying that in the event that there was a negative outcome, we would have to exit in 30 days. So we're a little hesitant to put loans on that line today. If we get some clarity, we may change that opinion and we've really only put a third on the line there, because we want to keep our credit lines open with our counterparties on the street and until such time that we have better long-term future. I think over time, if we became a permanent member in the FHLB system, the majority of our financing in agencies would go to the FHLB and we would look to transfer some of our loan financing activity to the FHLB also.
David Walrod: Okay, thank you.
Operator: Thank you. And our next question comes from the line of Steven DeLaney from JMP securities.
Steven DeLaney: Thanks. Good morning, Steve. How are you?
Steve Mumma: Good, Steve.
Steven DeLaney: Good. So I just switched over, I apologize, I may have missed some of your initial comments. I'd like to start with book value. I mean congratulations on a flat book value in this quarter, it’s going to show very well within the mortgage universe. A lot of people took pain on CMBS during the quarter, but with spreads widening, curious that that was not the case there despite your heavy investment in multi-family securitized loans. Can you comment on that and as to why your mark to market, if you will, on your K-Series bonds did not result in a negative impact to book this quarter?
Steve Mumma: Well, I think there is two things. One thing that helps book, a lot of times when you have an entire balance sheet that’s mark-to-market and you sell those assets as those assets leave, that mark-to-market leaves with it. So our loans that we sold with a large gain since they are not mark-to-market, you get the benefit of that flowing through your earnings and not really dragging down your book value, okay. So that was helpful. And secondly, when we go to market multifamily securities, they are seasoned securities, so we look to the new issue market, we look to the secondary market where these loans are trading. And I think a lot of the spread widening in the collateral is centered around the front of the curve. I mean, they have lined down all the rated securities, and I think that pressure comes from the pipeline of CMBS that’s on the docket. And I think, like I said previously on previous questions that I think the end investors have become very savvy to pipelines as they understand that the distribution has to go to end users and the ability for street firms to warehouse inventories reduced dramatically. And I think the - I think the story, the untold story in the third quarter and going into the fourth quarter is that overall liquidity in the marketplace is dramatically lower than it has been in the last three to four years in my opinion. And while securities are trading, there is very little inventory being taken and there is very little willingness for people to take inventory on. So that has put pressure from AAAs down to BBs. The credit pieces, yes, they did have some widening in them. I think we look at where our securitized credit pieces are marked by third parties and securitizations, we look at transactions in the marketplace and we look at where new issues are being priced. And so we think that the new issue Freddie Mac space is probably lined [ph] out about 200 basis points from the tight [ph] a year ago and about 100 basis points during this third quarter. And as we go into the fourth quarter, there is additional lining in that sector.
Steven DeLaney: Got it. That’s helpful, Steve. Thank you. And your comments on the second lien program just picking up some of the wording in the press release, you were talking about the delay. It sounds like that’s still a program you think will be viable, but we are just - it’s taking a while to get some traction. And one of the reasons you referred to the current low interest rate environment, just trying to understand the impact on consumer demand, are you trying to say, to sit with low rates with mortgage rates being low maybe just the traditional refi is being viewed as more attractive than taking out a second mortgage. What’s the issue about low rates?
Steve Mumma: Yeah, look, when we started talking about this program back in May and June, which was really back in May, when we initially started putting this together, the sob was Feb was going to start to increase rates at some point this year and the curve is going to get little bit steeper, rates are going to go higher. And our feeling was for the borrowers who were sub-4% in 30-year mortgages, as that rate goes above 4% and heads towards 4.5% and they want to cash out, they want to generate some cash from HCA in their homes, they may look to do a second lien in lieu of doing a refinance of the entire balance, maybe more economical. So we thought that standalone cycle would be very attractive. With rates still at sub-4% on 30-year mortgages that just hasn’t come to fruition. Our Piggyback program is - the Piggyback, where borrower lives in an area where the agency conforming balance of less than what they need to borrow, and they don’t - they don’t have access to a jumbo loan in their market where we would do an agency first, and second lien on to trade a piggyback. That has been where we’ve gotten some traction. The MI companies have become very aggressive in their insurance costs and so under these new compliance rules and regulations, you have to present the borrower with all the alternatives. Some of those alternatives from the MI space look lower on a payment basis, but probably cost longer, costs more on a long-term basis, but the standard is on the monthly payment and that’s also being competitive to our second lien mortgage.
Steven DeLaney: That’s helpful. And then one last quick thing and I’ll let you go. Back in the second quarter release I believe you discussed the contribution agreement with River Bank, there are certain assets that you had on the NYMT balance sheet. So now as I understand the plan for an IPO there has been delayed, should we just assume Steve for modeling purposes that those assets that otherwise would have been contributed? Should we just model that those are just going to remain part of your investment portfolio for the foreseeable future?
Steve Mumma: That’s correct, Steve. That’s correct. I think what we will do is as we accumulate mezzanine loans, the thought was you would contribute into RMI, RMI would do a financial transaction, with RMI to get some leverage on that transaction to increase yields. I think as we get the critical mass in our company, we will do that financial transaction in our own company. We’re still hopeful that there is a place for this RMI out as an independent company and the strategy there is to create an investment vehicle that has a cost to capital that’s less than a mortgage REIT, where mortgage REITs trade between 12% and 15% dividend yields, the commercial REITs trade between 8% and 10% dividend yield. And so the thought is that we can create a cheaper cost to capital, we would do it there. We do like those investments. It’s just - that will be the strategy going forward that we’ll accumulate in financing our balance sheet until such time changes.
Steven DeLaney: Great. Thanks for the comments, Steve.
Steve Mumma: Okay. Thank you, Steve.
Operator: Thank you. And that concludes our question-and-answer session for today. I would like to turn the conference back over to Steve Mumma for any closing comments.
Steve Mumma: Thank you, operator. Thank you for everyone that’s been on the call. It has been a difficult quarter for the REIT sector in general, especially difficult for our shareholders. We understand that and we’re doing everything in our power to get this thing reverse. We are confident in our portfolio going forward that we can continue to generate attractive returns. Thank you and we look forward to speaking to you in March or late February.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program and you may now disconnect. Everyone have a good day.